Operator: Good morning, and welcome to the Iron Mountain Second Quarter 2018 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I now would like to turn the conference over to Melissa Marsden, Senior Vice President of Investor Relations. Please go ahead.
Melissa Marsden: Thank you, Keith. Hello, and welcome to our second quarter 2018 earnings conference call. The user-controlled slides that we’ll be referring to in today's prepared remarks are available on our Investor Relations Web site along with the link to today's webcast. You can find the presentation at ironmountain.com under About Us/Investors/Events & Presentations. Alternatively, you can access today's financial highlights press release, the presentation and the full supplemental financial information together as one PDF file by going to investors.ironmountain.com and refer to Financial Information. Additionally, we have filed all of the related documents as one 8-K, which is also available on the IR Web site. On today's call, we'll first hear from Bill Meaney, Iron Mountain President and CEO, who will discuss highlights and progress toward our strategic plan followed by Stuart Brown, our CFO, who will cover financial results. Referring now to Page 2 of the presentation, today's earnings call, slide presentation and supplemental financial information will contain forward-looking statements, most notably our outlook for 2018 financial and operating performance. All forward-looking statements are subject to risks and uncertainties. Please refer to today's press release, the earnings call presentation, supplemental financial report, and the Safe Harbor language on this slide as well as our Annual Report on Form 10-Q which we expect to file later today for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results and the reconciliations to these measures as required by Reg G are included in the supplemental financial information. With that, Bill, would you please begin?
William Meaney: Thank you, Melissa, and hello, everyone. We’re pleased to report another strong quarter of financial and operating results that demonstrate the durability of Iron Mountain’s global storage rental revenue, the relevance of some of our new service offerings and continued progress against our 2020 strategic plan. Our performance, outlined on Page 3 of the presentation, is on track with our full year expectations as illustrated by total revenue growth of 11% on a constant dollar basis, strong growth in adjusted EBITDA with 130 basis points increase in EBITDA margins, continued durability of our storage business with internal revenue growth of 2.7% for the quarter and 3.2% for the year-to-date after adjusting to last year’s data center early lease termination fee. Strong internal revenue growth of 7.6% for the quarter and 4.2% year-to-date driven by solid growth in our digitalization in special projects business as well as shred and further expansion of our global data center platform both through internal development and acquisition, including EvoSwitch based in Amsterdam, a top 5 global market. Globally, we continue to see growth in internal storage volume. However, you will see us increasingly emphasize yield management when looking at our developed markets as we continue to maximize yield rather than market share by focusing on net operating income per foot. In our other international segments, total internal revenue is driven more by volume where organic volume growth was 3.8% in the quarter. In developed markets, which include our North American Records and Information Management, North American Data Management and Western European segments, we achieved internal storage revenue growth of 1.3% for the quarter driven by revenue management despite a 1% decrease in internal records volume on a trailing 12-month basis, due in part to an uptick in destruction related to the release of legal hold. New volume from existing customers globally was stable in the quarter and we continue to prioritize volume from new customers supported by our focus on penetration of unvended segments such as the midmarket and the U.S. federal government. Turning to Slide 4, we continue to make progress on the execution of our strategic plan. As you will recall, we are extending our durable business model through continued nurturing of our developed markets, expanding into faster growing emerging markets and investing in storage-related adjacent businesses such as data centers as well as art and entertainment services. We continue to listen to our customers and identify new opportunities to provide innovative solutions in services to both new and existing customers. The significant growth in internal service revenue in the second quarter was in a large part driven by growth in shred mainly due to higher paper prices, higher level of destruction of record and growth in customers. We’re also seeing good growth in our digitization business. An example of this is a project we are undertaking for a major North American bank who is challenged by application form accuracy and turnaround times from their third party resellers. The bank found its vending process had been taking up to three days with higher than acceptable error rates representing lost revenue. We proposed a complete solution for tens of thousands of file and are ensuring the bank files are now securely uploaded for ingestion into their systems and applications are securely stored electronically for future retrieval. Paper documents are stored according to retention policies and later securely destroyed. As a result, this customer has been able to reduce their SLAs for new accounts down to 24 hours and virtually eliminate errors in keying. We’re excited by the potential for similar projects within our information governance and digital solutions business as our customers increasingly see us as a critical go-to partner for effective management of their hybrid physical and digital information management needs. Our newly announced partnership with Google only reinforces this. Turning now to emerging markets for our records management business, we continue to see solid internal growth as well as attractive acquisition opportunities. During the quarter, we closed on two transactions in EMEA leveraging our scale and infrastructure in these regions. Our deeper penetration into these faster growing markets supports enhanced market leadership and we expect to drive margins higher. As I noted earlier during the quarter, we closed on the acquisition of EvoSwitch for approximately €205 million or 14x 2018 adjusted EBITDA giving us 11 megawatts of existing data center capacity in the Netherlands which is 100% leased with the expansion capability of an additional 23 megawatts for a total potential capacity of 34 megawatts. EvoSwitch operates one of the largest colocation facilities in the Amsterdam region. Its existing campus supports more than 50 connectivity and telecommunication providers and it has an attractive diversified base of global customers, including multinational enterprises, cloud service providers and public sector institutions. The Amsterdam region is the second largest data center market in Europe enhancing our presence in what I’ll refer to as the FLAP data center markets; Frankfurt, London, Amsterdam and Paris following our entry into London early in this year through the purchase of a data center facility from Credit Suisse. In addition, we broke ground early in the third quarter on a new building at the IO data center campus in Phoenix, one of the fastest growing markets in the U.S. The new building can ultimately accommodate 48 megawatts of capacity with the first of two phases of construction scheduled for completion in June 2019 delivering 24 megawatts. When combined with current and potential capacity, the Phoenix camp, this will be able to support approximately 100 megawatts in one of the U.S.’s highest absorption markets. You can see from our reported results for the data center segments that we are on track for annualized results of more than $200 million worth of revenue this year and $115 million to $120 million of adjusted EBITDA after normalizing for full quarter contribution from the EvoSwitch acquisition. Driven by the acceleration of enterprise data center outsourcing to third parties and attractive growth characteristics of the business, we have shifted some of our growth capital from acquisitions in the records management business towards development with our existing portfolio of data center opportunities. Stuart will have more on these minor shifts to our capital allocation guidance shortly. I’m sure many of you saw the announcement earlier this week of our partnership with Google that I referenced earlier. Starting in September we will offer joint solutions that allow customers to unlock their physical and digital data to enhance insights, improve decision making and uncover new revenue opportunities whilst ensuring data privacy and security. Our customers increasingly ask us how we may help them create value from their data so they are not missing opportunities to mine that data to uncover new revenue. We believe the combination of our customer base comprising more than 95% of the Fortune 1000 with deep industry vertical expertise together with Google’s machine learning and artificial intelligence capabilities can help customers make their physical and digital information more useful and accessible whilst keeping it safe. Although it is early days, we are excited by the potential represented by this partnership with Google. Our expansion in the data center business and this new partnership with Google are great examples of how we are seeking to enhance investment returns whilst also supporting customers’ storage and information needs across a broad range of formats and asset types where the physical documents, hybrid physical digital records, backup tape, digital data in the cloud or physical space and power within our data centers, these offerings are all part of the information management ecosystem for which we’re developing offering such as Iron Cloud and other SaaS solutions. And our fine art, entertainment services and other adjacent businesses also align with our focus on maximizing yield. In fact, if you look at the net operating income we’ve generated on a per square foot basis on Slide 5, we have continued to grow this across our range of storage businesses. As shown on Slide 6, we expect the consistent internal revenue growth in our internal business together with the expansion of our data center platform and recent transactions and other adjacent businesses to drive faster growth with improved margins over time. Before acquisitions, we are well on track to achieve a business mix delivering adjusted EBITDA growth in excess of 5% before acquisitions by 2020. Year-to-date, this is consistent with the progression that’s fueled by 3.6% internal revenue growth. Moreover, given the growth in our data center and adjacent businesses, our growth portfolio which consists of emerging markets, data center and adjacent businesses is already approaching 25% of our revenue mix which is our goal to achieve by the end of 2020. On Slide 7, I want to reiterate that we remain on track with our deleveraging and payout ratio targets which assume a 4% annual increase in dividends per share between now and 2020. Stuart will address the progress we have made on our balance sheet shortly. Before turning the call over to Stuart, I’d like to note that in addition to extending revenue management programs across our portfolio, we also retain the ability to pass through inflation-based price increases on an annual basis. And given the high margin characteristics of our storage business, we achieved significant flow through on these increases enhancing our ability to deliver meaningful dividend per share growth and not just nominal but in real terms. We continue to be unique within the S&P 500 and that we are a top yielding company that is durable and has strong internal growth, expanding margins, a solid balance sheet and great long-term growth potential supported by acceleration and the contribution from our faster growing portfolio. These factors are driving consistent growth in both the top line and in cash flow that ultimately supports our ability to continue to grow dividends per share whilst delevering over time. With that, I’d like to turn the call over to Stuart.
Stuart Brown: Thank you, Bill, and thank you all for joining us today. I’m excited to discuss our solid results that demonstrate continued progress against our near-term and long-term objectives. Our records management business continues to deliver steady organic revenue growth and strong margin expansion, while at the same time we’re achieving meaningful scale and faster growing adjacent businesses. We remain focused on driving increased value for our shareholders through strong current performance combined with investments in our data center and other adjacent businesses. Let me start off by quickly walking you through the highlights before providing a bit more detail. You can see both the quarter and year-to-date performance on slides 8 and 9 of the presentation which show results trending mostly ahead of our annual outlook. For the quarter, revenue came in at about $1.1 billion growing 11% on a constant dollar basis, driven by the impact of our data center acquisitions and solid internal storage revenue growth. Our internal storage revenue growth adjusted for last year’s termination fee was 2.7% for the quarter and 3.2% year-to-date, which is in line with our 3% to 3.5% annual guidance. This reflects solid underlying fundamentals, benefits from our revenue management program and positive net global storage volumes. Our internal revenue growth is calculated to exclude any impact of the new revenue recognition standard; however, the accounting change has had some minor impact on reported storage and service revenue mix. Internal service revenue grew 7.6% in the second quarter and 4.2% in the first half, primarily due to contribution from our shred business, which Bill discussed, as well as additional digitalization and other projects. Our gross profit margin improved by 70 basis points in the quarter primarily driven by labor efficiencies and the flow through of our revenue management program. SG&A as a percentage of revenue also improved, about 60 basis points year-over-year. Our adjusted EBITDA grew almost 15% on a constant dollar basis for the quarter to $369 million with margins expanding 130 basis points reflecting the benefits of recall synergies and our transformation initiative, flow through from revenue management initiatives, contribution from our higher margin data center business and the impact of the adoption of the new revenue recognition standard. When excluding the approximately $6 million of benefits from the data center, data center early lease termination fee and other non-recurring items recorded a year ago, our adjusted EBITDA margins in the quarter expanded 190 basis points. Also our structural tax rate for the quarter was 21.8%, a bit higher than our annual guidance as a result of higher rates in the international markets and increased depreciation and amortization in our qualified REIT subsidiary associated with recent data center acquisitions. Adjusted EPS for the quarter was $0.30 per share, flat compared to last year due partly to the increased depreciation and amortization as well as increased shares outstanding following our December offering to fund the acquisition of IO data centers. AFFO was $451 million for the first half, up $63 million or more than 16% over the prior year and is trending towards the upper end of our guidance for 2018. Providing a little more color on our internal growth performance for the year, on Slide 10, you can see the impact of our revenue management efforts reflected in developed markets internal storage revenue growth of 1.3% for the quarter. This quarter’s growth is slightly lower as we cycle over a strong 3.4% internal growth in the second quarter of 2017. Developed markets internal volume growth was negative, about 1% on a trailing 12-month basis on a base of more than 500 million cubic feet in storage. Internal service revenue in developed markets increased 7.6% for the quarter due mainly to growth in our shred business, project revenue and digitization as mentioned earlier. In other international, we continue to see steady storage internal revenue growth of 5.9% for the quarter with service internal revenue growth of 6%. In other reporting segments, the details of which are in the supplemental, the legacy data center business delivered strong internal revenue growth of almost 35% for the quarter, albeit off a small base after adjusting for last year’s early lease termination fee. Turning to Slide 11, you can see our margin expansion with growth in almost all segments. In the global data center segment, adjusted EBITDA margins while down slightly on a reported basis improved nicely after adjusting for last year’s early termination fee reflecting our scaling of the business. We expect data center margins over time to move closer to the mid to high 50% range as we fully integrate recent acquisitions and add more scale to this business. Year-to-date, we have executed 4.4 megawatts of new leases primarily with enterprise customers and the federal government. Based on our leasing pipeline, we are tracking well relative to our 10 megawatts of expected leasing this year and we are pleased with progress considering that our Phoenix data centers were 100% leased at acquisition. Turning to Slide 12, you can see that our lease adjusted leverage ratio was 5.6x at the end of the second quarter consistent with the first quarter and after closing the EvoSwitch transaction. Our current leverage ratio is comfortably in line with other REITs especially when considering that our business is more durable than many other REIT sectors. Additionally, during the second quarter we refinanced our line of credit reducing interest on drawn and undrawn balances by 25 basis points and extending the maturity. As you can see in the supplemental, as of June 30, our borrowings were 74% fixed rate, our weighted average borrowing rate was 4.8% and our well laddered maturity is an average of 6.6 years. We believe this is an appropriate structure supported by our real estate portfolio and long-term nature of our customer relationships. With regard to guidance, we remain comfortable with the constant dollar outlook we laid out on our February call, which is in our supplemental materials for your reference. While exchange rates have had a modestly positive impact on year-to-date results versus a year ago, at current exchange rates we expect the strengthening dollar to result in a headwind of about $50 million to reported revenue in the back half of the year which will flow through to EBITDA. Just a reminder that we evaluate the business on a constant dollar basis and that outlook is unchanged. We do, however, anticipate greater capital efficiencies as you have seen through the first half of the year, so expect full year AFFO to be at the higher end of our guidance range. I’d like to draw your attention to our cash sources and uses on Slide 13 of the presentation, which we have updated since our last quarterly call to reflect the acquisition of EvoSwitch, capital recycling proceeds from the sale of three infill properties in London as well as anticipated additional development to expand our data center capacity in Phoenix and Amsterdam. Our strong operating performance and capital discipline has allowed us to keep leverage flat while borrowing to fund EvoSwitch. In summary, we are pleased with our second quarter business performance and results of the first half. Our revenue management initiative is working well, driving steady growth and strong margin expansion from our records management business. Further, we remain very encouraged with the progress in data center and the prospects for creating meaningful value for shareholders through expanding the platform. We’re building out a well-rounded competitive data center portfolio with strong growth and a healthy outlook. We look forward to updating you on our progress on these elements over the coming quarters. With that, I’ll turn the call over to Bill for closing remarks before we open it up for Q&A.
William Meaney: Thank you, Stuart. I just wish to make some quick comments before we open it up to Q&A. First, we’re very pleased by the strong financial and operating performance and this is punctuated by both the strong internal revenue growth both in storage and service, the continued expansion of EBITDA margins which when combined with internal revenue growth gave us around 4% internal EBITDA growth in the first half. Our new information governance in digitization services are finding real resonance with our customers as they look to us in helping them manage a hybrid physical and digital world. This is visible both in our financial results as well as the partnership announced with Google. Finally, we continue to be a standout as a high-yielding investment which continues to grow AFFO and EBITDA in the mid to upper single digits fueling continuing dividend growth. With that, I’d like the operator to turn it over to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. This morning’s first question comes from George Tong with Goldman Sachs.
George Tong: Hi. Thanks. Good morning. I’d like to dive a little bit deeper into your progress of price volume optimization. Can you elaborate on what extent your increases in pricing has been implemented versus internal plans? And how over the next several years you expect to migrate the North American price increase strategy over to Europe?
William Meaney: Okay. Good morning, George. What I would say is it’s fully implemented and probably has been for about 12 months in North America. I’d say we’re more than halfway through mark in Europe but you’re just starting to see the results. And you can see that when you actually – it’s the monkey math in the sense that as you know that the internal revenue growth and internal volume growth are done on a slightly different basis, but you can get a feel for the difference between, say, Western Europe and North America in terms of how much the internal revenue growth is coming from price and how much is volume. Still in Europe we’re still getting a lot of the internal revenue growth from volume whereas in North America we’re getting it all from price. And over time what we’re driving for is again to get more and more of our internal revenue growth from price in these mature markets as we try to maximize the yield or the NOI that we’re getting on the assets deployed rather than having to add racking to drive internal revenue growth. So I would say in North America we’re pretty much there and we continue – and in Europe we’re probably a little bit more than halfway there and we continue to look at developed markets to deliver somewhere between, say, 3%, 3.5% of internal price improvement going forward as we roll that program out into Western Europe. If we look at the emerging markets, we have just recently established four pricing centers or revenue management centers in those markets because we don’t want to just leave chips on the table. But you can expect us to continue to be more cautious in those markets to be too aggressive with price because those are markets that typically with a few exceptions – there’s some locations in Latin America and in Eastern Europe where we’re very comfortable with our market penetration but there are other areas where we’re still building market share. But we have actually initiated four regional centers of excellence in terms of revenue management even in the emerging markets now.
George Tong: Yes, that makes sense. And as your pricing initiatives continue to get implemented, would you view this as a one-time step up in pricing or do you think it’s going to be a sustained lever over the course of several years? In other words, what’s the timeline of revenue lift or what’s essentially the timeframe of when you would expect the benefits to flow through from pricing and when would you expect that to normalize back down to low single digits or inflationary trends?
William Meaney: Well, we’re right now I think – we think that we have a pretty long runway to keep kind of that 3%, 3.5% if we’re looking just purely at developed markets. There was probably a little bit of catch-up because I think we are trending in the high – like the 3.5% to 4% at one point but we think the 3% to 3.5% in the current inflationary environment that we can continue to do that. So we feel pretty comfortable that we can get a little bit ahead of inflation in terms of the pricing and optimizing value for money that we’re providing our customers, especially as they’re coming to see us as a company that can support them on a number of fronts because the storage is just one part of the relationship between us and them. So they see – they’re actually even seeing more value that we provide from the storage part of the documents because of what we’re assisting them in doing on getting more revenue or insights from those documents going forward. So we feel pretty comfortable. It’s not kind of a one-and-done type thing that we can continue to drive in the developed markets that 3%, 3.5% annual price increase.
George Tong: Got it. Makes a lot of sense. And then lastly around services, the organic growth this quarter accelerated to 7.6%. Can you talk about whether there were any one-time benefits that occurred in the quarter or reasons why you might not expect that growth to persist going forward?
William Meaney: It’s a good point. I think we’ve called out a few times when it was kind of on the other side of the equation that especially as we go into more of the digitization project, which we’re really excited about, right. That’s also one of the reasons why we’ve established a partnership with Google. Those are going to be more lumpy, right. There is a recurring part of that especially the digitization projects that then rely on Iron Cloud to do the ongoing storage, so that would look more like a SaaS-type contract where there will be a recurring part of it. But there is many times a lumpy part of those contracts which is the initial digitization piece. So that is part of the thing that has driven that blip and that’s also why we – you’ll notice that I talked about it both the 7% plus that you’re referring to but also the 4% plus on the first half because there will be some movement back and forth. In addition to that, we did also have a very strong quarter on shred fueled partly by paper prices, partly because we’ve had some documents that have come off legal hold that are getting destroyed. So that fuels some of the – so I would consider that kind of a one-off destruction volume hit because of these documents that have come off legal hold. That’s not a usual occurrence. And then the other part is we obviously have won some new customers. So there are some one-off I would say aspects of even the shred business mainly around these legal hold documents but also you will see a little bit more movement up and down as these projects roll, even though that there’s a recurring aspect for both of these digitization projects.
George Tong: Very helpful. Thank you.
Operator: Thank you. The next question comes from Shlomo Rosenbaum with Stifel.
Shlomo Rosenbaum: Hi. Good morning. Thank you for taking my questions. Bill, I’m going to go back to my gold and goose question. In terms of the revenue stepping up from pricing and looking at that with some of the volumes coming down, how are you kind of ensuring that you’re not killing the goose that laid the golden eggs in terms of – we saw the volumes go down? You mentioned legal aspect of that kind of a cliff. Maybe you can go into that a little bit more? And are we going to see the volumes come back towards – or hover around 0 plus or minus or should we really expect that in mature geographies we’re just going to see the volumes really just start to decline now?
William Meaney: It’s a good question, Shlomo. I wouldn’t expect you to ask any other questions. That’s fine.
Shlomo Rosenbaum: [Indiscernible] also by the way.
William Meaney: So coming around the goose, so the one thing – I think last time you and I spoke about it is I said, look, we are pushing price so there is always the potential to be some slowdown from existing customers. The one thing I was encouraged this time – and so we do watch that, right. To say that there was no elasticity out there is probably not fair, although I think there’s less and less elasticity going forward especially as we broaden what we’re doing for the customers across this kind of hybrid digital physical world. But specifically we were encouraged that if you look at new volumes from existing customers, that stayed steady from last quarter to this quarter. So I don’t think there’s a – there may have been a little bit of an impact but I don’t – it’s not getting worse. So I think that’s kind of flattening out. So I think that’s encouraging that we can continue to drive the type of price increases that we’ve been pushing through. Knowing that, yes, it may slow down that a little bit. The big difference this quarter was really around these legal holds and you can see that – in terms of the destructions, that’s kicked up. And just to give you, put some context on that, so the thing is we’re – on a trailing 12 months if we look just at developed markets because developed markets is where we see this trend that you’re describing, right, which are the more mature markets. So if I just look at developed markets, we continue to get in about 28 million boxes a year on an internal basis before acquisitions on a trailing 12-month basis and that’s staying pretty steady, so we think that’s really good. So we don’t see it drop off on what new is coming in. Historically – you’ve watched the starts a long time, we average about 20 million boxes of destruction a year that go out. And now we’ve seen this uptick which is driven mainly around legal hold which both before and after the GFC. So during that period of time where the uptick on a percentage term turns out to be 2 million or 3 million boxes of additional destruction on that 20 million base. And we think it’s going to take some time for that to wash through. So if you said to a net-net where that all leaves, we’re still kind of in the same guidance that we’ve provided last time as I think that we do expect the developed markets to be flat plus or minus on the zero. We still see especially with the federal government and some of the middle market which is going to be also lumpy how those things come in. We will have some quarters that are going to be on the positive. We’re going to have some quarters that are on the negative. If you ask me looking forward over the next 12 to 14 months that they were going to have more quarters on the negative side of zero than the positive side, we think it’s going to be kind of in that range. So we don’t see an acceleration in terms of the drop off. And so we feel very comfortable that we can continue to drive the kind of internal revenue growth even from the developed markets that we’ve been able to achieve.
Shlomo Rosenbaum: So we should see this improve? We should see that we’re going to go ahead and get volumes that are going to get closer to zero or even plus a little bit at some point in the next 12 to 24 months?
William Meaney: I think the next 12 to 24 months I think we’re going to be more in the negative side, but after that yes I think we’ll have some quarters that we’ll be in the positive column.
Shlomo Rosenbaum: So over the next one to two years we should expect this to be a negative trend?
William Meaney: I wouldn’t say negative trend. I would say it’s going to be at about the same trend if I’m kind of looking through these legal holds that are kind of flowing through and I’m looking through in terms of how our pipeline is building with some of the less penetrated areas of our business before, which is the middle market and the federal government, then I would say if you kind of looked through that, I think we’re going to kind of be in the same volume trends – not trends I would say but kind of the same volume levels that we’re seeing right now on a quarter-by-quarter basis but not trending negatively but kind of staying in that kind of range. So I think we’re going to be probably on the negative side of zero. But I do see as the destruction levels go back up to normalized trends and looking at the forward pipeline if you’re saying to me do I think there’s going to be some quarters that will also be on the positive side, yes.
Shlomo Rosenbaum: So if you kind of keep the volumes flat, what you’re saying is, is that after you comp on a way that makes the quarters go negative on a year-over-year basis but essentially you’re not accelerating the decline? Did I understand that correctly?
William Meaney: That’s correct.
Shlomo Rosenbaum: Okay. And just if you look at the organic revenue growth on storage and like each market, except other international, the organic revenue growth, I’m not talking about volumes, just the revenue growth seems to have gone down a little bit lower than in the last four or five quarters. Is there something going on over there or how should we think about that?
William Meaney: Well, I think if you look developed markets, right, to your point it kind of – let’s just put it in the total, it comes out to I think around 2.3%. And then if you do the kind of – if you do on a monkey math in terms of if you take the volume, you take the revenue and you get like around 2.3%, 2.4% in terms of price that we’ve got and we normally are getting 3%, 3.5% in that growth. There were some one-offs that were from a comparison last year that kind of suppressed that comparison. So we’re still tracking in that 3%, 3.5% of price increase on an annual basis in the developed market. So we don’t actually see it trending down. There were some one-offs in Q2 last year that made that comparison look – again, monkey match acknowledging that volumes on a trailing 12-month prices on year-over-year or revenues on year-over-year. But if you do the monkey math you get to 2.3%. But if you kind of correct for that, we’re still kind of in the 3%, 3.5% range. So we expect that to continue to trend.
Shlomo Rosenbaum: Okay. I’m going to have to take that offline just because what I’m seeing is storage internal growth in NA RIM at 1.4% and then data management 0.7% and then 1.8% in Western Europe and each one of those is a decel?
Stuart Brown: Just to add on to what Bill said, there was – remember we’re cycling over a strong first quarter and NA RIM a year ago and there were some one-time benefits on an annualized basis, not a big number but impacted the second quarter by probably about 40 basis points. So actually you’re sort of – if you normalize for that you wouldn’t see the same trend you’re seeing.
Shlomo Rosenbaum: Okay. And then just – the services projects are on one hand encouraging, the other hand they’re more volatile and George got into some little bit. I thought maybe you could talk about it a little bit more. Is there a portion of these businesses that we’re not just going to see a bunch of projects that go up and down, up and down? Is there a portion of these businesses that are going to really – or projects that will end up being recurring multiyear type of items that will bring the services business to strength on more of a regular basis?
William Meaney: Yes, that was what I was trying to highlight before is that there is kind of two aspects with a lot of these projects, not always but more and more especially since we’ve launched Iron Cloud. It is the part which is getting the information in digital format that they can either apply machine learning to or they can just taking physical documents and putting it into electronic documents. There’s a project aspect to that and that will continue to be lumpy. And then there’s the other aspect when they’re utilizing Iron Cloud, then that becomes more like a SaaS project. It’s an ongoing recurring revenue associated with that digital storage that we’re providing through Iron Cloud.
Shlomo Rosenbaum: So if you look at some of the projects that you have right now, are these going to be ongoing for several quarters or should we infer that if you had a really strong quarter like very often then we’ll see the next year, you have very tough comp or even the next quarter, it drops down because of that.
William Meaney: I think as we start up, you’re still going to see probably similar kind of lumpiness that you’ve seen historically, so I wouldn’t say that you’re going to see a major change in the next couple of quarters because the Iron Cloud we just launched in the last few months. So we’re just starting to get that, what I call that recurring base that comes from that aspect of it. But I’ll give you an example. We signed a market research company just recently which is a five-year contract which is just recurring revenue year-after-year-after-year, right, and we expect to renew after five years because it’s still going to need access to that data. But it’s going to take some time for the Iron Cloud to ramp which is the main part of the recurring. We do have some other projects that recur as well. But I think if you look at for the next few quarters, Shlomo, I think you’re going to see continued lumpiness.
Shlomo Rosenbaum: Got it. And then I’m just going to leave off with this. It seems like the focus on data center, the capital is going there versus – or some reallocation from records management. Typically records management acquisitions have helped keep the volumes up as well. Is that going to kind of change the volume look on a go-forward basis as more of the capital is allocated through the data center side?
Stuart Brown: You’ll see more – I think we’ll be able to continue to deliver growth on the records management side. I think what you see from a capital discipline standpoint what we’ve done is we’ve gotten – we’re building less in advance before we’re building out racking sort of two to three years in advance on the storage side. So we’re able to continue to keep the records management growth. We may not be building out quite as much. So we’ve been able to take some of that capital, reallocate that to the data center business. And so as you’re taking the strong base that we have from EvoSwitch with a strong ongoing earnings revenue, take customers out of their existing data centers, expand them out. You’re seeing us get good preleasing on the development side, so we’ll continue to get earnings expansion from that and the strong capital returns. The capital returns from a racking is obviously the best returns and we’ll continue to allocate capital there as we have the opportunities. But the data center business I think longer term is really going to continue to create the most value for shareholders as you’re developing those assets at a low to mid-teens return in a business that’s got cap rates that are mid to upper single digits. So that creates a lot of value for shareholders.
William Meaney: And the only thing I would just add to what Stuart, Shlomo, on that is that it goes back to the pricing what we’re doing on yield management in developed markets. So if you look at North America for instance and you look at North America two years ago is our internal revenue growth was almost completely driven by volume. So we were adding racking to support that. Now we’re actually getting higher internal revenue growth out of North America and we’re doing that without any additional racking or nearly – almost no additional racking. We thought to add racking in a couple places but much less racking than we have to do to drive that. And you can see that in a chart that we introduced this time around looking at NOI growth in terms of our records management business is we’ve grown it not only on absolute terms but we also have grown it on a square foot basis. So we are getting much better yield also out of mature markets and that allows us where we had to spend money on racking before is to be able to reallocate that.
Shlomo Rosenbaum: Thank you so much.
Operator: Thank you. The next question comes from Sheila McGrath with Evercore.
Sheila McGrath: Yes. Good morning. You’ve made several larger data center acquisitions with personnel from the different companies. I was wondering if you could touch on how integration in that line of business is going. And also any examples of cross selling the data centers to Iron Mountain storage customers?
William Meaney: Thanks, Sheila. It’s a great question. So first of all we’re really – I think I said this last time, we’re really pleased and we’re pleased with the assets that we have but we’re really pleased with the people assets. In fact, Mark Kidd had an offsite with his management team I think it was about 10 days ago that I went and spent a little bit of time with them. And the level of engagement, the expertise, the customer relationships that those folks have brought across both at IO and Eric for EvoSwitch, for instance, was in the room as well that he’s bringing in terms of strengthening our position in Europe is fantastic. So I feel really both fortunate the people that we were able to get as part of the acquisition and just the sense of their engagement, motivation and excitement of being at Iron Mountain because a number of them felt like they were capital constrained before we bought them because obviously their companies were getting ready for sale, et cetera. So I think the excitement is really good and the talent that we got is really good. I think where we’re continuing to work through on the integration, I wouldn’t say we’re all done on the integration. I think the people integration were pretty far along but we still have some operating systems that were still standardizing and integrating because obviously every time you buy one of these companies, they have their own operating system. So we’re still integrating across that. In terms of the cross selling, yes, we’ve seen it in both ways. So we have a relationship with pretty much, on the Iron Mountain side with all of the – almost all the large global financial service customers. And as a result of that, some of the data center folks have been able to expand their footprint using the Iron Mountain relationships in those financial service customers which they were unable to before. And on the other side even we’ve had cases where say IO was serving a bank but they didn’t have the northern Virginia location and we’ve already seen cross selling within the data center business of being able to take customers that we might have been serving in northern New Jersey, for instance, into our northern Virginia facility which has been also great in terms of retention of some of the sales folks that we’ve been able to get through these acquisitions because we’ve effectively given them more shelf space or more product on the shelf that they can sell. So we’ve seen revenue synergies, if you will, by just building the footprint and getting our sales people more product to sell by geographical expansion. And then we’ve also seen some relationships that we’ve had on the records management side that we’ve been able to facilitate so they can actually add new logos. So, so far it seems to be really positive.
Sheila McGrath: Okay, great. And then moving to the venture with Google, just to understand how that came about, does it require new employee hires for Iron Mountain and who is offering the marketing? Is Iron Mountain marketing this to their customer and Google is just the tech programming part? Just a little bit more detail how you expect this to unfold.
William Meaney: We’re excited about the Google partnership. So to me it’s kind of little bit the Reese's peanut butter cup, right. I don’t know who’s the chocolate and who’s the peanut butter. But I guess it depends on which you like. I like chocolate better so I’ll stick with the chocolate. But I think that it was one of these things where I think we were both looking at this. We continue to work with our customers and our customers continue to come to us especially as they go through their digital transformation on how we can help them in this hybrid digital and physical world. And because we have a lot of their physical content, we’ve been historically helping them digitize that and we have their trust. You were a natural person for them to come to. So we started looking at could we find a partner that would help facilitate some of the machine learning, because we’re not an artificial intelligence or machine learning company but we know how to actually ingest data, tag it and put it together in a way that actual machine learning can efficiently be applied to that and then store the results afterwards in a secure – both the cyber secure and from an intellectual property secure methodology. So we had actually independently started looking at this space. We’ve hired a number of people from the tech community. Fidelma Russo, as you know, that we brought over from EMC about 14, 18 months ago. She’s systematically recruited a team not just for this area but for a number of areas where we think technology can really drive new revenue streams for the company. So we’ve brought in a number of people that actually have developed what we call records management as a service, this product offering. At the same time Google has been looking at that space. And if you kind of look at – I think you have to ask Google but when I speak with Google, the reason why they were attracted to us really is kind of two levels. One is that we have such a deep trusting relationship with 950 of the Fortune 1000 and we truly are a B2B marketing and selling organization, which is slightly different than Google. The other thing is, is we have that trusted position and we have tons of data. So if you look at the medical records, for instance, we have 850 million medical records. Now it’s not going to be our decision to do this. This is our customers come to us and say they want to try to get more insight and do things faster and better in a more compliant way with their information. So when we have those opportunities, coming to your question who’s selling it? Iron Mountain is selling. And we put something together for the customer and transparently if the customer says, yes, we want to actually apply machine learning to that, Google as you know is one of the strongest machine learning artificial intelligence companies around and has the scale to actually do these type of applications on a global footprint, not just in the United States. So we’re really excited. It’s early days and as we say we’ll launch it in September. So we’ve already done proof of concepts in a couple of industry verticals and we were at Google next last week speaking about it and Google was also speaking about it.
Sheila McGrath: Okay, great. And one last quick one. In the supplemental there was a ratio on internal data center growth which was negative. Was that skewed by that lease termination fee that you mentioned in the year-ago period?
Stuart Brown: Right, exactly. There was a lease termination fee. SimpliVity paid a lease termination fee after they got acquired last year. It was about $4 million.
Sheila McGrath: Okay, perfect. Thank you.
Stuart Brown: Thanks, Sheila.
Operator: Thank you. The next question comes from Andrew Steinerman with JPMorgan.
Andrew Steinerman: Hi, Stuart, how much cost efficiencies are left in the transformation initiatives and the recall synergies? And what will drive margins forward past these two areas?
Stuart Brown: When you look at sort of our margin outlook and our 2020 guidance, you sort of get an ongoing call it up and down a little bit to sort of 60, 70, 80 basis point margin expansion per year. And so a piece of that is obviously continued efficiency improvements, some of those efficiency improvements will drop to the bottom line, some of that will continue to reinvest in back office improvements and the customer service initiatives – customer solutions that Bill talked about, so some of that will get reinvested. Obviously we get margin expansion as well from revenue management so that contributes to it as well. And over time as the data center business grows, that’s a higher margin business also. So that just from the mix standpoint will wake that up.
Andrew Steinerman: Right. And so Stuart I think you just answered the second part of the question on kind of past initiative, but about the first part. When you look at those two buckets, transformation and recall synergies, how much is left in those?
Stuart Brown: Yes, from recall we’ve got about $5 million to $10 million of synergies left.
Andrew Steinerman: Okay.
Stuart Brown: And most of that is coming from the real estate consolidation. Most of the benefits are flowing through what we talked about is the piece that would be trailing would largely be around the real estate consolidation just because it takes a little while to set that up.
Andrew Steinerman: Right. And then all your original transformation initiatives, is that ongoing or --?
Stuart Brown: Yes, we’ve captured most of that as well and that’s inherent in this year’s guidance already.
Andrew Steinerman: Perfect. Thank you.
Operator: Thank you. And the next question comes from Eric Compton with Morningstar.
Eric Compton: Good morning. Thanks for taking my questions. I have two quick ones. One, just on data centers. So I’m looking at kind of Q2 the revenue per leasable square foot and per leasable megawatt compared to Q1 and I’m seeing kind of some trends up there. I’m wondering is that just the function of some of the mix change maybe adding Amsterdam now or is that like – is there something to that trend or maybe I’m reading a little bit too much into that? And then related to that, just maybe a little more color on your take of supply and demand what you’re seeing in the data center market pricing, anything along those lines?
William Meaney: Because we’re looking at a number of different markets, there is a mix issue. In other words, it depends on how much hyperscale, how much smaller colo and obviously retail has a different pricing per kilowatt. In terms of the trend, we continue to see – first of all, we are emphasizing on the top 20 global markets, top 10 in the U.S. and top 10 in international and those markets by their own definition have the highest absorption rate. So we continue to see very strong demand pipeline. You noticed that we announced the expansion of the Phoenix campus, for instance, with the first 24 megawatts being available by July next year, so about a year’s time. We do that based on the pipeline of commercial deals that we see coming in. So we really remain very bullish on the data center segment especially in these high absorption markets which we’re focused on.
Stuart Brown: And just to come back on the supplemental, when you look at that, the majority of that change is really the layering in of EvoSwitch during the quarter.
Eric Compton: Got you. Okay, that’s helpful. And last one for me just on the corporate and other segment, I know there is a lot of kind of moving parts in there. But I’ve got in my notes just – the goal is maybe 140 by 2020 if I’m reading this right. So I’m just curious, I know we had the art acquisition I believe was last quarter, so maybe any updates there as far as growth and what the – just kind of maybe an updated run rate there where future growth might come from in that segment?
William Meaney: You’re picking up the general right now, because what we’ve done is we’ve had that the art segment as you highlighted before and we this year have actually taken the entertainment services which used to be part of data management and we’ve put that together with art, because whist the – a number of the customers are obviously different is the way we go to market and the type of services that we offer whether it’s the entertainment services or the art market are very similar. So when you look at those businesses, they do tend to have growth rates that are on an organic basis in the mid to upper single digits. And we can see that consistently. And we’re also seeing – we’re getting some synergies on that. But we’ll provide more guidance as we go forward. But right now we’ve put it in the corporate segment because it’s actually still relatively small to the whole.
Stuart Brown: And the other thing to remember is Artex which is the art business that’s really been focused on the museums was acquired late – was closed late in the quarter and so that had very small impact. But that integration was going well already.
Eric Compton: Got you. All right, thanks, super helpful.
Operator: Thank you. [Operator Instructions]. We have a follow-up question from Shlomo Rosenbaum with Stifel.
Shlomo Rosenbaum: Bill, I just want to see if you’d let me back in.
William Meaney: I always let you in, Shlomo.
Shlomo Rosenbaum: Yes, I’m just kidding with you. I just want to ask, absent the data center acquisitions, would you still hit that 2020 plan in terms of margins?
William Meaney: I think we would be close because the way that the data centers – look, the data centers have a higher margin. Even when they stabilizes we say they’re kind of 55% let’s roughly margins. That being said, between now and 2020 because of the growth in the data center business if we’re not running that portfolio on a fully stabilized basis, over time you can expect that that’s going to give us more tailwinds behind our margin expansion. But between now and 2020 given the development pipeline, it may add a little bit but still the bulk of our growth is in the core business.
Stuart Brown: The only thing I’ll add, Shlomo, is that we did update the 2020 plan after we bought IO. We actually increased the margins at that time. So we had already made an adjustment for that.
Shlomo Rosenbaum: But I’m just saying if you go back and I looked back and all I could say the last Analyst Day that you guys had a 2020 plan. Are you getting back a little bit to what Andrew was asking, are you guys on track with the overall core business?
Stuart Brown: We’ll probably answer – if you look at the trends rates that we’ve been hitting and the benefits of the revenue management program, we probably would be exceeding those targets.
William Meaney: Yes, and you can see that in the results that we’re printing now. We’re actually continuing to grow EBITDA and this is – and a lot of the data centers not fully stabilized now. So it’s adding a little bit benefit but the bulk of the benefit is what we’ve been able to drive through the integration of recall, transformation and the general health of the business and then you layer on revenue management. So the bulk of the – coming back to the margin expansion, over time though I would say once you get beyond 2020 and every year as the data center business continues to go, obviously that’s going to just fuel the EBITDA margin growth even more.
Shlomo Rosenbaum: Got it. Thank you.
Operator: Thank you. As there are no more questions at the present time, I would like to turn the call to management for any closing comments.
William Meaney: Thank you very much. Have a good weekend, everyone.
Operator: Thank you. This concludes our question-and-answer session and today’s conference call. The digital replay of the conference will be available approximately one hour after the conclusion of this call. You may access the digital replay by dialing 877-344-7529 in the U.S. and +1 412-317-0088 internationally. You'll be prompted to enter a replay access code, which will be 10121234. Please record your name and company when joining. Thank you for attending today's presentation. You may now disconnect your lines.